Operator:
’:
’:
’:
’: For opening remarks and introductions, I would like to turn the call over to Mr. Daniel DiMicco, Chairman, President and Chief Executive Officer of Nucor Corporation, please go ahead sir.
Daniel DiMicco:
’: After briefly reviewing our second quarter results, we will take your questions. First and most importantly, I want to say thank you to all the members of the Nucor team for your hard work in where are the most challenging steel market conditions we have seen in our lifetimes. Your unrival commitment to safety, continue improvement, cost reduction and taking care of our customers is positioning our team to come out of this economic depression stronger than when we undertook. I realize this as a time of hardship and difficulty for all of 21,000 men and women of Nucor and our David J. Joseph and Harris Steel subsidiaries. You have my deepest gratitude and at the same time, I want to reiterate to you my strongest conviction, working together as a team through this economic crisis, will pay big dividends when inevitable economic recovery arise.
’: After briefly reviewing our second quarter results, we will take your questions. First and most importantly, I want to say thank you to all the members of the Nucor team for your hard work in where are the most challenging steel market conditions we have seen in our lifetimes. Your unrival commitment to safety, continue improvement, cost reduction and taking care of our customers is positioning our team to come out of this economic depression stronger than when we undertook. I realize this as a time of hardship and difficulty for all of 21,000 men and women of Nucor and our David J. Joseph and Harris Steel subsidiaries. You have my deepest gratitude and at the same time, I want to reiterate to you my strongest conviction, working together as a team through this economic crisis, will pay big dividends when inevitable economic recovery arise.
’: After briefly reviewing our second quarter results, we will take your questions. First and most importantly, I want to say thank you to all the members of the Nucor team for your hard work in where are the most challenging steel market conditions we have seen in our lifetimes. Your unrival commitment to safety, continue improvement, cost reduction and taking care of our customers is positioning our team to come out of this economic depression stronger than when we undertook. I realize this as a time of hardship and difficulty for all of 21,000 men and women of Nucor and our David J. Joseph and Harris Steel subsidiaries. You have my deepest gratitude and at the same time, I want to reiterate to you my strongest conviction, working together as a team through this economic crisis, will pay big dividends when inevitable economic recovery arise.
’: Nucor reported a second quarter 2009 loss of $133 million or $0.43 per share. Our results were better than our guidance issued last month for our second quarter loss in the range of $0.55 to $0.65 per share. The second quarter also represents a 30% improvement from our first quarter loss of a $190.0 million or $0.60 per share. There is another very important factor to know when comparing our second quarter performance with that of the first quarter. Second quarter results carry a substantially greater burden, approximately $115 to $116 million, which is roughly double the first quarter level, from accelerated consumption of high cost pig iron and scrap inventories that are sheet metals.
’: Nucor reported a second quarter 2009 loss of $133 million or $0.43 per share. Our results were better than our guidance issued last month for our second quarter loss in the range of $0.55 to $0.65 per share. The second quarter also represents a 30% improvement from our first quarter loss of a $190.0 million or $0.60 per share. There is another very important factor to know when comparing our second quarter performance with that of the first quarter. Second quarter results carry a substantially greater burden, approximately $115 to $116 million, which is roughly double the first quarter level, from accelerated consumption of high cost pig iron and scrap inventories that are sheet metals.
’: Of all the decision severely penalizing our short term earnings, it is the right decision from a longer term perspective. It has improved both our cash flow generation and our operating flexibility moving forward. Our better than expected second quarter performance result from stronger orders production and shipments as a quarter progressed.
’: Second quarter results also benefited from stabilization in metal margin spreads during the months of May and June. There is one other very important factor to note, we are proud that we have accomplished all of this without laying off a single Nucor employee or going through what has been called the great recession or the worst downturn experience in our lifetime.
’: This improvement is in apparent demand along with steel price increases suggest that we should realize some improvement in third quarter results compared to second quarter. However, the third quarter will again carry a heavy burden from consuming the balance of our high cost pig iron inventories.
’: These structural balances are excessive leverage, artificially induced consumption resulting from the credit level and mercantilist trading practices and abuses. The economic challenge is ahead for the U.S. economy was serious, and what happens in the U.S. still has a tremendous impact on the global economy, like no mistake about that. Events over the past ten months have once again made that very clear.
’:
’:
’: Our disciplined execution of our long term growth strategy has one objective. Delivering attractive long term returns on our shareholders valuable capital throughout the cycles. We have proven our ability to perform to the up cycle that is evidenced by a six-fold increase, the cyclical peak earnings from 2000 to 2008. It was also demonstrated with our U.S. steel industries leading return on equity during the most recent cyclical upturn from 2004 to 2008, which was delivered using the lowest debt leverage in the industry. Today, we are again providing improving our ability to perform through down cycle. The current downturn unprecedented severity is highlighting the value of our business model. We only have to look back as recently has what we achieved during the last economic downturn over 2001 to 2003 to see that.
’: Our disciplined execution of our long term growth strategy has one objective. Delivering attractive long term returns on our shareholders valuable capital throughout the cycles. We have proven our ability to perform to the up cycle that is evidenced by a six-fold increase, the cyclical peak earnings from 2000 to 2008. It was also demonstrated with our U.S. steel industries leading return on equity during the most recent cyclical upturn from 2004 to 2008, which was delivered using the lowest debt leverage in the industry. Today, we are again providing improving our ability to perform through down cycle. The current downturn unprecedented severity is highlighting the value of our business model. We only have to look back as recently has what we achieved during the last economic downturn over 2001 to 2003 to see that.
’:
’:
’:
’:
’:
’:
’:
‘:
’:
’:
Terry Lisenby:
’: Very healthy operating cash flow generation has enabled Nucor to maintain strong liquidity, while also funding first half of 2009 outlays totaling approximately $775 million. These were for a long term debt retirement, profit sharing and incentive compensation payments for 2008 to record earnings performance, and a payment for 2008 federal income taxes.
’:
’:
’: At the close of the second quarter, debt totaled $3.98 billion and our debt-to-capital ratio was 29%. The weighted average coupon rate on our fixed rate debt is 5.7%. After retiring a $5.4 million industrial revenue bond in August, our next debt maturity is not until 2012. About $2.2 billion of our debt or 70% of the total matures in 2017 and beyond.
’:
’: For example, our debt-to-capital ratio of 29% provides us a significant cushion relative to the 60% debt-to-capital corner limit in our credit facility. Capital expenditure for the first half of 2009 were $240 million. For full year 2009, we continued to project capital expenditures of approximately $400 million. First half of 2009, depreciation and amortization totaled $278 million, and we expect about $590 million for the full year. Our capital spending budget for 2009 represents a substantial decline from 2008 capital spending that exceeded $1 billion due to the completion of a number of major projects last year.
’: For example, our debt-to-capital ratio of 29% provides us a significant cushion relative to the 60% debt-to-capital corner limit in our credit facility. Capital expenditure for the first half of 2009 were $240 million. For full year 2009, we continued to project capital expenditures of approximately $400 million. First half of 2009, depreciation and amortization totaled $278 million, and we expect about $590 million for the full year. Our capital spending budget for 2009 represents a substantial decline from 2008 capital spending that exceeded $1 billion due to the completion of a number of major projects last year.
’: For example, our debt-to-capital ratio of 29% provides us a significant cushion relative to the 60% debt-to-capital corner limit in our credit facility. Capital expenditure for the first half of 2009 were $240 million. For full year 2009, we continued to project capital expenditures of approximately $400 million. First half of 2009, depreciation and amortization totaled $278 million, and we expect about $590 million for the full year. Our capital spending budget for 2009 represents a substantial decline from 2008 capital spending that exceeded $1 billion due to the completion of a number of major projects last year.
’: For example, our debt-to-capital ratio of 29% provides us a significant cushion relative to the 60% debt-to-capital corner limit in our credit facility. Capital expenditure for the first half of 2009 were $240 million. For full year 2009, we continued to project capital expenditures of approximately $400 million. First half of 2009, depreciation and amortization totaled $278 million, and we expect about $590 million for the full year. Our capital spending budget for 2009 represents a substantial decline from 2008 capital spending that exceeded $1 billion due to the completion of a number of major projects last year.
’:
Daniel DiMicco:
’:
John Ferriola: Thanks Dan. Good afternoon. Let me begin by thanking all members of our Nucor Steel Mill and David J. Joseph and New Iron Raw Material teams for your outstanding commitment to working safely and taking care of our customers in this very challenging environment.
’: Second quarter steel shipments of 3 million tons where about half the year ago quarterly shipments of more than 6 million tons, our second quarter steel mill capacity utilization was 46%, a slight gain over the first quarter rate of 45% and our steel mills average selling price for the quarter dropped 39% from the year earlier level. However, as Dan mentioned in his comments, we are encouraged by the improving trends in orders, production, and shipments that began during the second quarter. April was the bottom, May was stronger than April and June was stronger than May. Our second quarter capacity utilization was up only modestly from the first quarter. There was significant improvement in monthly mill utilization rates for each product through the second quarter. With stronger demand, we are implementing price increases in each of our products for the first time in about nine months. These stronger business conditions have continued into July. Across all of our steel mill products, we believe the catalyst for this upturn in demand is the result of service centers completing their inventory, destocking cycle. Service center inventories in June, was 6 million tons, their lowest level since August of 1983. Service center inventories have been reduced by 46% from their peak level in August of 2008. Months of supply across all products were 2.4 months. Collaterals months supply were even lower at 2.1 months. As a result, service centers have recently increased their buying to match end use demand. At the same time, we see little indication that end use demand has improved.
’: Second quarter steel shipments of 3 million tons where about half the year ago quarterly shipments of more than 6 million tons, our second quarter steel mill capacity utilization was 46%, a slight gain over the first quarter rate of 45% and our steel mills average selling price for the quarter dropped 39% from the year earlier level. However, as Dan mentioned in his comments, we are encouraged by the improving trends in orders, production, and shipments that began during the second quarter. April was the bottom, May was stronger than April and June was stronger than May. Our second quarter capacity utilization was up only modestly from the first quarter. There was significant improvement in monthly mill utilization rates for each product through the second quarter. With stronger demand, we are implementing price increases in each of our products for the first time in about nine months. These stronger business conditions have continued into July. Across all of our steel mill products, we believe the catalyst for this upturn in demand is the result of service centers completing their inventory, destocking cycle. Service center inventories in June, was 6 million tons, their lowest level since August of 1983. Service center inventories have been reduced by 46% from their peak level in August of 2008. Months of supply across all products were 2.4 months. Collaterals months supply were even lower at 2.1 months. As a result, service centers have recently increased their buying to match end use demand. At the same time, we see little indication that end use demand has improved.
’: They will look to supplies who have sufficient financial strength to whether top economic times. Another important component of our value proposition will be our product line diversity that offers one stop shopping opportunities for customers. Our steel mill assets and most importantly our people put Nucor in a very favorable position to gain market share and build a long term earnings power. Our electric arc furnaces production process can be turned on and turned off very quickly and with our long standing no layoff practice at our steel mills having continued through this unprecedented down turn our people are ready today, not tomorrow, not next week or next month, take care of our customers. I will now briefly review the fundamentals of each product group.
’: We have announced two price increases for Bar Products. The first increase was effective in June. The second will be effective in August. While demand has improved somewhat in recent months, we still expect overall bar market conditions to remain challenging. We have two exciting Bar Mill group growth projects to update you on. Our new Memphis SBQ Mill expands our product offerings to include rounds from three inches to nine inches in diameter and it positions Nucor with the broadest, highest quality, and lowest cost SBQ price offering in North America. Memphis has been melting and casting for a year with as cast blooms, ship to customers in the U.S., Western Europe, Korea, India, and Mexico.
’: We have announced two price increases for Bar Products. The first increase was effective in June. The second will be effective in August. While demand has improved somewhat in recent months, we still expect overall bar market conditions to remain challenging. We have two exciting Bar Mill group growth projects to update you on. Our new Memphis SBQ Mill expands our product offerings to include rounds from three inches to nine inches in diameter and it positions Nucor with the broadest, highest quality, and lowest cost SBQ price offering in North America. Memphis has been melting and casting for a year with as cast blooms, ship to customers in the U.S., Western Europe, Korea, India, and Mexico.
’:
’: First half, 2009 shipments decreased 56% from the year ago period. However, second quarter 2009 shipments increased 12% over the first quarter. Even with the capacity utilization rate below 40% for both the second quarter and the first half of this year, our beam mills have remained profitable over this period. Our teams at Nucor model and Berkeley are doing outstanding work on costs in this very difficult market. Demand for beams has been improving since bottoming in April. In addition to customers filling holes in their inventory, we are seeing project activity increase in such market segments as hospitals, power plants, government buildings and schools. We have announced two price increases for beams, the first effective in June and the second effective in August. Well there has been a slight up tick in demand; we expect beam market conditions to remain difficult for the balance of 2009.
’: We have announced two price increases for plate, the first effective in June and the second effective mid July. Building on our strength of product breadth and diversity, both of our plate mills, Hertford County, North Carolina and Tuscaloosa, Alabama, are doing extensive product development in both new grades and new sizes of plate to grow our product offering.
’: We have announced two price increases for plate, the first effective in June and the second effective mid July. Building on our strength of product breadth and diversity, both of our plate mills, Hertford County, North Carolina and Tuscaloosa, Alabama, are doing extensive product development in both new grades and new sizes of plate to grow our product offering.
’: We have announced two price increases for plate, the first effective in June and the second effective mid July. Building on our strength of product breadth and diversity, both of our plate mills, Hertford County, North Carolina and Tuscaloosa, Alabama, are doing extensive product development in both new grades and new sizes of plate to grow our product offering.
’:
’: During these very depressed market conditions, our sheet mill teams have also been extremely productive in developing new products and strengthening customer relationships to compare for the better days ahead and our new galvanizing facility at our Decatur Alabama Sheet Mill is already proving to be an excellent growth platform for us in the value added coded sheet steel market.
’: Congratulations and thanks to the entire Decatur team for a great start up and a very timely one. In addition to earning qualification files, the line will be running overflow orders from our three other galvanizing lines, which are at full production. We are excited about the potential this galvanizing line gives to our team.
’: Congratulations and thanks to the entire Decatur team for a great start up and a very timely one. In addition to earning qualification files, the line will be running overflow orders from our three other galvanizing lines, which are at full production. We are excited about the potential this galvanizing line gives to our team.
’:
’: In conclusion, our Steelmaking and Raw Material teams are working hard and working together to grow our competitive advantages in our long term earnings power. We are excited about the opportunities we see ahead and we greatly appreciate your interest in our company. Thank you. Dan?
’: In conclusion, our Steelmaking and Raw Material teams are working hard and working together to grow our competitive advantages in our long term earnings power. We are excited about the opportunities we see ahead and we greatly appreciate your interest in our company. Thank you. Dan?
Daniel DiMicco:
’:
Hamilton Lott:
’:
’:
’:
’:
Daniel DiMicco:
’:
Operator: (Operator Instructions) Your first question comes from Kuni Chen - Banc of America Securities.
Kuni Chen - Banc of America Securities: I guess this first question on the pig iron issue. What would you say is the minimum utilization rate that you would need to run at in the third quarter to completely workdown these excess inventories?
Daniel DiMicco: Ladd, do you want to answer that?
Ladd Hall: Well, around 50%.
Kuni Chen - Banc of America Securities: So 50% gets you completely worked through this quarter?
Ladd Hall:
’:
Kuni Chen – Bank of America:
’:
Daniel DiMicco: I can summarize with the one word answer, yes. Two, as we said several times, way too early based upon the success that the industry had prior to this financial collapse and economic crisis to be thinking about actually moving forward with acquisitions. We think that we are set all along, and that would be 12 to 18 months, kind of time out period between when this collapse took place and when you started to see that kind of activity.
’: Those conversations are keeping the doors open, why everybody feels more comfortable and one thing start to show that the economy truly is on demand, which we have not seen yet. So as far as any sense of urgency to do to anything, we have none, and we will act when we feel a lot more comfortable and what we see out there with respect to our economy in the direction that the country is going.
’: Those conversations are keeping the doors open, why everybody feels more comfortable and one thing start to show that the economy truly is on demand, which we have not seen yet. So as far as any sense of urgency to do to anything, we have none, and we will act when we feel a lot more comfortable and what we see out there with respect to our economy in the direction that the country is going.
’: Those conversations are keeping the doors open, why everybody feels more comfortable and one thing start to show that the economy truly is on demand, which we have not seen yet. So as far as any sense of urgency to do to anything, we have none, and we will act when we feel a lot more comfortable and what we see out there with respect to our economy in the direction that the country is going.
’: Those conversations are keeping the doors open, why everybody feels more comfortable and one thing start to show that the economy truly is on demand, which we have not seen yet. So as far as any sense of urgency to do to anything, we have none, and we will act when we feel a lot more comfortable and what we see out there with respect to our economy in the direction that the country is going.
Operator: Your next question comes from Michael Gambardella - JP Morgan.
Michael Gambardella - JP Morgan:
’:
’:
’:
Daniel DiMicco:
’:
’:
’: Certainly people are free to make those optimistic or more optimistic cause, but we would not be so quick to do so and we would, so far we have been very cautious and our caution is paid off to be more correct in that.
’: Certainly people are free to make those optimistic or more optimistic cause, but we would not be so quick to do so and we would, so far we have been very cautious and our caution is paid off to be more correct in that.
’: Certainly people are free to make those optimistic or more optimistic cause, but we would not be so quick to do so and we would, so far we have been very cautious and our caution is paid off to be more correct in that.
Michael Gambardella - JP Morgan: Okay, but automotive by trade publications is about 20% of demand usually in domestic shipments, is that correct?
Daniel DiMicco:
’:
Michael Gambardella - JP Morgan:
’:
’:
’:
’:
Daniel DiMicco: I know, but, Michael, we have to look at 40% over what.
Michael Gambardella - JP Morgan:
’:
Daniel DiMicco: I am talking about very low levels on absolute terms; you are talking in very low levels of tons.
Michael Gambardella - JP Morgan:
’:
Daniel DiMicco:
’:
’:
’:
’:
Michael Gambardella - JP Morgan: Okay, I just have one other question just on the pig iron.
Daniel DiMicco:
’:
Michael Gambardella - JP Morgan:
Daniel DiMicco: December of last year?
Michael Gambardella - JP Morgan: Well I thought that you had said utilizing...
Daniel DiMicco:
s: So those purchases were all made well before that. We made no purchases in the fourth quarter.
Michael Gambardella - JP Morgan:  I mean just back, say in the third quarter then; how much did you lock in and was that through fixed pricing?
Dan DiMicco: All pig iron purchases are fixed pricing, first of all. They are all bought on a stock market, they are all bought three to six months ahead of time and when we were buying pig iron the market was going great guns, there was no financial collapse on Wall Street or anything like that in the cards, and the forecast for fourth quarter was for the some downturn seasonally and operations, but nothing like the 60% fall off that we saw.
’: As things got worse as we’ve indicated, utilization has got down to the low 40s, high 30s for the industry and those pig iron supplies take a long time to work through the system. So we said way back, that it would be until third quarter that we would get through the excess pig iron and the high priced pig iron.
’:
’:
’:
’:
Operator: Your next question comes from Timna Tanners - UBS
Timna Tanners - UBS :
’:
’:
Dan DiMicco:
’:
’:
’:
’:
’:
’:
’: As far as exports go, Mike, John you want –
’: As far as exports go, Mike, John you want –
John Ferriola:
’: The breakdown is mostly billets. They account for about 75% of all the exports and the rest is between sheet and plate, a little bit heavily weighted to sheet product.
Timna Tanners - UBS :
’:
John Ferriola:
’:
Dan DiMicco: Timna, one last thing on exporting opportunities, certainly the dollar has again started to weaken. Unfortunately, with a good reason based upon our economic situation and the slow recovery that is being forecast by most economists. So as the dollar weakens, it does open up more opportunities as the global economy picks up, but those opportunities at this point in time will be few and far between, but they hopefully will be growing opportunities as we move forward. Next question, please.
Operator: Your next question comes from Michelle Applebaum - Michelle Applebaum Research.
Michelle Applebaum - Michelle Applebaum Research:
 a:
John Ferriola:
’:
’:
’:
Dan DiMicco:
’:
’:
’:
’:
’:
Michelle Applebaum - Michelle Applebaum Research:
’:
’:
’:
John Ferriola:
’:
’: So, we are excited about the export opportunities in the second half.
’: So, we are excited about the export opportunities in the second half.
Michelle Applebaum - Michelle Applebaum Research:
’:
Operator : Your next question comes from Luke Folta - Longbow Research.
Luke Folta - Longbow Research: My first question, I wanted to get a feel for where capacity utilizations might be going in the third quarter. Are you able to us some color regarding each of the businesses? Where you might be seeing gains and where not?
Dan DiMicco:
’: It turned in April and May and June were all up-ticks. We ended up finishing somewhere in the vicinity averaging around mid 50s in capacity utilization overall and there should be the ability to maintain those.
 a:
’:
’:
’:
’:
’:
’:
’:
Luke Folta - Longbow Research: Do you expect moving forward in 3Q, there would be a much greater flat roll contribution compared to what we saw in 2Q?
Dan DiMicco:
’:
’:
’:
’:
’:
’s: So if we get a kick from what infrastructure spending, there will be in the stimulus package or if they come out with a stronger infrastructure spend as the Civil Engineering Society has recommended. That could turn around, but we will see kind of a balance between those two.
’: So if we get a kick from what infrastructure spending, there will be in the stimulus package or if they come out with a stronger infrastructure spend as the Civil Engineering Society has recommended. That could turn around, but we will see kind of a balance between those two.
’:
’:
’:
’:
Luke Folta - Longbow Research:
’:
Dan DiMicco:
’:
’:
Operator: Your next question comes from Mark Parr - KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Markets: How are you doing? You sound pretty good today.
Dan DiMicco: When we started this conference call, the operator made the mistake of saying that this was going to be our second quarter 2008 conference call and we all started laughing here and crying at the same time, saying, yes, we wish we were back in the second quarter 2008. Having said that, please ask your questions.
Mark Parr - KeyBanc Capital Markets:
’:
Ladd Hall:
’:
’:
’:
Dan DiMicco:
’:
’:
’:
Joe Stratman: Mark, this is Joe Stratman. On the plate side of the business, we are still taking orders into August, but we are also taking longer term contractual, project type orders into September on plate. On the beam side we are running, essentially a published four week cycle. Now, that can move based upon, if we get more tons we can expand days on the mill and add some capacity utilization, but basically we are running at a published four week cycle.
Mike Parrish:
’:
Mark Parr - KeyBanc Capital Markets:
’:
Dan DiMicco:
’:
’:
’:
’:
’:
Mark Parr - KeyBanc Capital Markets: The August scrap.
Dan DiMicco:
’:
Mark Parr - KeyBanc Capital Markets:
’:
Dan DiMicco:
’:
’:
Keith Grass:
’:
’:
Mark Parr - KeyBanc Capital Markets:
’:
Dan DiMicco:
’:
’:
’:
’:
’:
’:
’:
’:
Operator: Your next question comes from Michael Willemse - CIBC World Markets.
Michael Willemse - CIBC World Markets : I was wondering if you could give me your average cost of purchased scrap in the second quarter. Not the scrap that went through cost of goods sold, but what the average purchase cost was?
Dan DiMicco:
’:
’:
Michael Willemse - CIBC World Markets : On the 150 to 160 million in pig iron that was worked down, that would have went through the scrap costs line, correct?
Dan DiMicco:
’:
Michael Willemse - CIBC World Markets : Then next question. If I look at bar and structural shipments, it was up quite a bit in the second quarter versus the first quarter, maybe you touched on this a bit in the introduction, I missed it, but a 16% increase is quite a bit. Was that entirely due to inventory adjustments and I guess seasonal, anything else there?
John Ferriola:
’:
Michael Willemse - CIBC World Markets : More government related?
John Ferriola:
’:
Dan DiMicco:
’:
Operator : Your next question comes from David Lipschitz - CLSA.
David Lipschitz- CLSA : Most of my questions have been asked and answered. In terms of your contract business, how much do you have contracted for the rest of the year in your flat roll business?
John Ferriola:
’:
David Lipschitz- CLSA : Are people looking to do more contracts right now, or are you looking to sign more contracts or where do you guys stand?
John Ferriola: Well, the contracts that we would be talking about now would be for next year and frankly, its to early in the season to begin any serious negotiations. That will take place sometime around the September time frame.
Operator: Your next question comes from Sal Tharani - Goldman Sachs.
Sal Tharani - Goldman Sachs : I have two quick questions. One on LIFO Terry, should we take the average of the first two quarters for the next two quarters or $115 million credit each quarter?
Terry Lisenby:
’:
Sal Tharani - Goldman Sachs :
’:
Dan DiMicco: Nothing has happened in Mexico up to this point in time. It was put on hold back in the fall. We put everything else on hold. As far as our JV partnership with [Duferco] the new mill that you are referring to was a bar mill that was built being built in Sicily. Joe would you like to..
Joe Stratman:
’: As for the merchant bar mill, that mill will be ready to start up by the end of August and basically we will be making a market judgment at that time as to when is the right time to start it.
’: As for the merchant bar mill, that mill will be ready to start up by the end of August and basically we will be making a market judgment at that time as to when is the right time to start it.
’:
’:
Operator: Your next question comes from Debra Fine - Fine Capital Partners
Debra Fine - Fine Capital Partners: If you think that most of the order increase has been restocking, and I agree with you and you, and you obviously know more about than we do about this. If demand still remains very week, if you see significant more capacity coming on, particularly the Thyssen plant, does it not appear to you that significant capacity has to go out of the US for you all to get back to a normal sustainable level of profitability, if you are as embarrassed as you sound?
Dan DiMicco:
’:
’:
’: We are talking about years here, we are not talking about months, and we are not talking about quarters. So, yes, there will be a shake out and there will be a smaller domestic industry.
’: We are talking about years here, we are not talking about months, and we are not talking about quarters. So, yes, there will be a shake out and there will be a smaller domestic industry.
’:
’:
Debra Fine - Fine Capital Partners :
’:
Dan DiMicco: As you know, Debra, the market will take care of that and shake things out on its own and obviously we are strong believers that at the end of the day, the strongest and most efficient will get through, unless governments step in and change that course of activity. So, with our position, our strong balance sheet, our increasing cash position, our ability to borrow, high credit ratings and our very low-cost efficient operations. We will stand to benefit along with several others, when the shake-outs do occur, but it’s hard to envision that shake-out not occurring. As far as the Thyssen Krup start-up goes, I think that’s been continually been pushed back. I don’t know really where it stands right now. I think Thyssen Krup has had its hands full with the untimely death of one of their really top young leaders in that plane crash out of Brazil, a really super individual. So everybody is kind of getting their handle on what’s going on out there. When they actually start that facility up, I think they will be very careful about doing that, if things go as we believe they will go. So time will tell.
Operator: With that we have no further questions. I’d like to turn the program back over to Mr. DiMicco for any additional or closing comments.
Dan DiMicco: Thank you all for your questions, and yes, I even mean you Michael Gambardella. I’ll be happy Michael to further discuss those questions with you, to make sure I give you the best answers possible. I have one last thought, the most important one, and that is to share with you before ending our call, that the work the Nucor team is doing in 2009 will definitely be laying the foundation for future record years to come. Our best years are still to come and I want to thank all of our teammates for working safely, working smart, cutting costs and taking care of those customers. Thank you all, and have a good day.
Operator: That does conclude today’s conference. Thank you for your participation.